Operator: Good morning, ladies and gentlemen. Thank you for standing by and welcome to Repsol’s Second Quarter 2013 Preliminary Results. This conference call will be led by Mr. Miguel Martínez, CFO of the company. A brief introduction will be conducted by Mr. Ángel Bautista, Director of Investor Relations. Mr. Ángel, please go ahead.
Ángel Bautista: Thank you. Good day, ladies and gentlemen. This is Ángel Bautista, Director of Investor Relations in Repsol. On behalf of our company I would like to thank you for taking the time to attend this conference on Repsol’s second quarter results. This presentation will be conducted by Mr. Miguel Martínez, CFO. Other members of the Executive Committee will be joining us as well. Before we start I invite you to read our disclaimer note. We may make forward-looking statements which are identified by the use of words such as will, expect, and similar phrases. Present results may differ materially depending on a number of factors as indicated on the slide. I now hand the conference over to Miguel.
Miguel Martínez San Martín: Thanks, Ángel, and thank you for attending this conference on our second quarter results. First of all we would like to express our deepest condolences to the families and friends of the victims of yesterday’s tragic train accident in Spain. Our thoughts and prayers are with them today. Today’s conference call will cover two topics, first, the operational activity and the main event of the quarter, including an update of the situation concerning the YPF confiscation, and second, the quarterly results. Starting with the operational activity I would like to highlight the following; in the Upstream business during this quarter production of hydrocarbons reached 359,000 barrels of oil equivalent per day, which represents a 12% increase year-on-year. The additional volumes arise mainly from the ramp-up of the projects that came on-stream during the second half of 2012 and the beginning of 2013 in Russia, the U.S., Spain and Brazil, and the improved performance of our operations in Trinidad & Tobago, partially offset by the reduction in volumes from Ecuador, where we saw a 20% stake in Block 16 last September and Libya due to recent disruptions. In Libya we resumed operations on July the 12th and we are currently producing at normal levels. From an operational standpoint Kinteroni is ready to start production. However we are working on some commercial arrangements. The Peruvian government decision is that gas reserves from Block 57 replaced the ones related to Block 88 as the guarantee to the Peru LNG export facility. In consequence, some contract modification between Camisea and Peru LNG need to be made, since gas from Block 57 will be sold to Peru LNG. We are making progress and expect to start production shortly. In relation to the JV with SandRidge in the Mississippian Lime we are reducing the production forecast. This reduction is due to the new plans released by SandRidge after changes in the Board with a stronger focus on value creation, rather than production volumes. For this year we expect to produce in average 7,000 barrels of oil equivalent per day. We are in permanent contact with the new management with the aim of approving in the following months 2014 activity. Moving to Brazil and Bolivia and before the year-end, we expect to connect two more wells to the FPSO in Sapinhoá as is scheduled and to put into production, Margarita-Huacaya Phase II in Bolivia, thereby consolidating the successful delivery of two of the key projects of our target plan. Let me emphasize that the 10% production growth target for the year is achievable. Regarding our 2013 exploratory activity, we have already achieved the 300 million barrels of oil equivalent, annual target of contingent resources addition. During the first part of the year 12 exploration wells and one appraisals were completed. Nine of these wells located in the U.S., Brazil, Columbia, Algeria and Russia had positive results. We’re currently in operations in Brazil, Canada and the United States and Indonesia. In the second half of the year we will continue drilling the ongoing wells and will continue with exploratory campaigning in Libya. We will start new wells in Norway, Kurdistan and the Gulf of Mexico. And by the year-end we will start with new winter campaigns in Alaska and Russia, expecting to achieve the target of drilling 32 wells this year. Turning now to our seismic activity we finished our campaign in campus in [inaudible] 33 in Brazil and started campaigns in Australia, Bulgaria and Venezuela. In relation to the exploratory acreage we’ve got four new licenses in Norway in the Norwegian and Bering Sea where we will be the operator in two of them. We have also acquired additional acreage in [Gayan] and Indonesia. On the LNG sale we continue working on the closing of the transaction along with Shell. We have received all the antitrust approvals and we’ll be continuing with the initial plan to close the deal before the year end. To finish with the operating aspect in the refining business the utilization rate has improved. On the one hand the distillation capacity moved up to 80% from 68% during the same period in 2012. On the other hand the conversions units increased up to full capacity, 100% compared with 82% during the same period a year ago. Before going to the result analysis, let me provide you with an update concerning the YPF confiscation. Last month Repsol Board of Directors unanimously rejected the compensation offer it had directly received for the expedition of YPF as it did not satisfy the losses suffered by Repsol. The offer was based on value of the assets far from market values seen in recent transactions in Argentina and in the U.S. and had a structure which was far from the declared interest of Repsol for an agreement. Since it lacked of liquidity, did not include the minimum necessary legal nor financial warranties and required significant and compulsory investments. It’s also worth mentioning the recently announced Chevron YPF agreement. Repsol regret that a company like Chevron that seeks endorsement from international community in its conflict with foreign states is willing to take advantage from an illegal act entering into an agreement over the expropriated assets prior to the payment of a fair compensation to Repsol. In the meantime we would like to acknowledge the support received from the best companies in the industry. Repsol trusts in the justice of the legal proceedings already brought in defined forums, in response to Chevron actions including their request made yesterday before [inaudible] in Washington for injunction in order to protect the assets of YPF. At the same time, Repsol maintained its confidence in the recognition of its legitimate claims through the legal actions taken against the government of Argentina, reiterating notwithstanding as it always has, its open altitude to reach an agreement negotiated through the appropriate corporate channels with the necessary balance and which provides for a fair compensation bringing to an end the claims surrounding the expropriation. Let me start now with the results. This quarter we’ve released a CCS adjusted net income of €509 million, 6% higher year-on-year, and CCS adjusted operating income of €979 million, 5% higher than in the same quarter last year. In the first half of the year we released a CCS adjusted net income of €1.2 billion, 26% higher year-on-year and a CCS adjusted operating income of €2.3 billion, 14% higher than during the first half of 2012 enhancing the adjusted operating income during the second quarter 2013 by €514 million in line with the same quarter of last year, mainly due to the increasing production but lower realization prices. The explained 12% production increase had a positive effect of €51 million, while the related increase in the depreciation charges had a negative impact of €33 million. Exploration cost decreased this quarter by €86 million if compared to the same period last year due to the success in the South Illizi wells during the period. Repsol crude realization prices had a better performance than Brent due to higher volumes in Brazil and in the U.S. while gas realization prices decreased year-on-year due to the sales volume mix. These two price effects have a negative impact of €71 million. Other minor items explain the remaining differences. Moving on to the LNG, adjusted operating income in the second quarter was €170 million versus €78 million posted during the same quarter last year. We achieved higher volumes and stronger marketing margins along with a better performance in our North American operations. In the downstream business, adjusted CCS operating income in the second quarter 2013 was €147 million, 28% down year-on-year. The results of our resilient marketing business could not offset the lower result in these industrial businesses. By business segment, in the refining area, we suffer weak margins in Europe mainly during April and May, but recover slightly during June. This decrease in margin was due mainly through narrower spreads of middle distillate and gasoline versus Brent and the spread between light and heavy crude oils. The margin indicator and the premium margin, thanks to the upgrades for the second quarter were $2.6 per barrel and $1.2 per barrel respectively. The higher volumes could not offset the lower margins and cause a total negative impact of €11 million. In the chemicals division, lower NAFTA prices and better volumes could not offset lower product prices, having a negative impact of €23 million. The chemical division results were close to breakeven. The marketing businesses had a performance in line with the second quarter 2012. Despite 7% volume decrease in our services stations located in the Iberian Peninsula. And Gas Natural Fenosa €239 million adjusted operating income during the second quarter of 2013 was in line with the same period last year, due to better wholesale marketing margins partially offset by a lower contribution from Unión Fenosa Gas. Government of Spain recently announced a change in the law that regulates the electricity sector in Spain, putting pressure on the regulated business. We estimate that this change will produce a negative impact, pre-tax net to us of €27 million and €54 million in 2013 and 2014, respectively. The effective corporate tax rate in the second quarter of 2013 was 48% and we forecasted 44% tax rate for the whole year including accrued inventories effects under current circumstances. As a conclusion or in summary, I’d say that despite the tough macro and regional environment, we were able to release a resilient set of results. Moreover, we have maintained our focus in the execution of our strategic plan, delivering production growth and resources additions. And now I will be pleased to answer any questions you may wish to put forward.
Operator: Good morning, ladies and gentlemen. The Q&A session starts now. (Operator Instructions).
Ángel Bautista: Hello, again. Let’s begin with our Q&A session. We have enabled a chat in the webcast in order to post questions in the event. There are connection problems on the call. You may identify it by tab called Ask a Question, if any, we will address these questions at the end. Let’s begin. Please, Thomas Adolff from Credit Suisse. Hello, Thomas go ahead with the questions.
Thomas Adolff – Credit Suisse: Hi. And thanks for taking my questions. I’ve got three please. Firstly, on your production maybe in 3Q, can you give some form of guidance and perhaps go into some details on the moving part? And secondly, on your solid liquidity position, which will improve further post LNG disposes completed. I was wondering whether you intent to bid for the Libra field as part of the JV with Sinopec, and I was assuming you have seen the date already. And perhaps you can comment on the oil and gas ratio and say something on the CO2 content. And just sticking around with liquidity, I was wondering whether you also consider potential share buyback just to keep the share count the same? And finally, just on the U.S. and conventional play, I was just or – the onshore play, I was just wondering whether you feel you have the capability to ultimately an operator? Thank you.
Miguel Martínez San Martín: Thanks for your question, Thomas. Regarding some light for the 3Q, I would say that it’s going to depend much on the intention of Kinteroni, because the rest of the additions will come more in the fourth quarter, and by that it refers to the second well that will be tie into Sapinhoa and Margarita. So it’s going to depend much on the influence– in production of Kinteroni. So I would flat this quarter if Kinteroni doesn’t start. In relation with Libra, I mean, first, you this is still time – there is time at least to analyze, but it doesn’t have much to be with liquidity. In relation with Libra, we analyze for sure everything that moves and in that case we will have to analyze that in conjunction with our partners Sinopec. Having said so, probably I would say that there are all the companies that would be more aggressive initially because our position in Brazil is quite long and we already have a capital employed which I think – it fits with our portfolio. Turning back to liquidity and share buyback, I would say no, and we don’t – we are not analyzing any share buybacks. And also you have to think that the liquidity that is shown, which is the 10 billion from which 4.5 more or less are credit lines will shrink because cash proceeding we are not renewing the bond that – 1 billion bond that matures in July. And we also have the conversion of the half of the preference shares. So basically no buybacks and the position we have at the month end some [inaudible]. Finally, as an operator, well, right now I would say that we will keep in touch with them to analyze which are the proceedings. They are more orientated to value than to production figures, which for us is fair. And we keep working with them. Being an operator, well could be, but is not in the table at the present time, okay?
Thomas Adolff – Credit Suisse: Yes. Thank you.
Miguel Martínez San Martín: You’re welcome.
Ángel Bautista: Thank you, Thomas. Now let’s move on please. Oswald Clint from Bernstein. Please go ahead with your questions.
Oswald Clint – Bernstein: Yes. Thank you. Just two questions. First one, maybe just talking about the weak downstream result there. Can you talk about how your crude diet has changed for the refineries in the second quarter? And is there anything you can do here with the low light-heavy spreads to try to improve that capture or improve that positioning in terms of light-heavy spreads to any other crude that you could actually start to import? And then secondly, I wonder if you could just give or talk about your OpEx per barrel just in the upstream, and how that’s trending through 2013 relative to last year? Thank you.
Miguel Martínez San Martín: Thanks, Oswald. Starting with the second one, I would say that the OpEx is moving, but slightly up. It has to be more with the type of activity we are aiming more at the broader – more than with cost inflation that we are not proceeding, yeah. And also with transportation cost from Sapinhoa, I mean, which is just one well. So cost there, impacting more per barrels produced, because we are in several of our production in the startup phase and so the – normally there are few more costs per barrel. And in relation with the crude diet, I think that we have keep a touch to the crude diet, more or less the same we had last year, except for the change in the Iranian crude, but this affected more the first – I mean, the first quarter than the second one. So second one, I would say, it’s the same diet. We basically operate with 45%, 48% of our diet is heavy crude. But I don’t see any other thing we can do. I mean, the market the one that really marked the spread between heavy and light. And in relation with weak results, I agree with you. I mean, they have been weak. I think that probably this quarter, at least is the trend in the last year, the second quarter has always been the weakest in refining. So we will see how we end the year. But in relation with your question, I don’t – I cannot see any way to really modify the spread.
Oswald Clint – Bernstein: That’s great. Thank you.
Miguel Martínez San Martín: Thank you, Oswald.
Ángel Bautista: Okay. Thank you very much Oswald. Let’s move to Jason Gammel from Macquarie. Hello Jason, please go ahead with your questions.
Jason Gammel – Macquarie: Thank you gentlemen. I just had couple. First on Brazil, you mentioned that there is only well producing now and that your expected tie-in to during the fourth quarter I believe is what you said. Can you comment on the production that you are seeing from the well that’s in operation? And then just clarify that the reason for delay in the other wells being tied in is simply the unavailability of the subsea buoy. And then second of all, if you can turn to Kurdistán, can you talk about any progress that you may have had in farming down your interest in Kurdistán. I believe you mention that you are intending to drill a well there later this year?
Miguel Martínez San Martín: I’ll start with the first one. I mean, the producing well is producing 25,000 barrels per day gross.
Jason Gammel – Macquarie: Okay.
Miguel Martínez San Martín: And in relation with the second one, we are in talks with two companies at the present time to allow them to farm in Kurdistán. But still, I mean, probably within one month or so we’ll have news in that sense. But yes our idea is to dilute our 100% that we already own today.
Jason Gammel – Macquarie: Okay.
Miguel Martínez San Martín: Did I answer you, Jason?
Jason Gammel – Macquarie: Yeah, you did. If I could just ask though, the delay in tying in more than one well at Sapinhoa. Obviously, it’s been producing for a while now. Is this due to the unavailability of the subsea buoy? Or are there other issues on the FPSO?
Miguel Martínez San Martín: What you mentioned, exactly what you mentioned.
Jason Gammel – Macquarie: Okay. Thank you.
Ángel Bautista: Okay. Thank you very much, Jason. Now, please Flora Trindade from BPI. Go ahead with your questions.
Flora Trindade – BPI: Yes. Hello, good morning. First question basically is a follow-up on the last one, the delays on subsea equipments. Are you also seeing any cost inflation? What’s your view here on the impact it could have going forward? And then in line with this and considering the information you have as production events in Sapinhoa. Can you share with us any updated expectations for the typical OpEx per barrel and CapEx per well. You have implicit in your models? And then a last one just trying to look forward to the second half of the year. And can you update any expectations for Canaport and also for the marketing within the downstream division? Thank you.
Miguel Martínez San Martín: Well in relation with cost inflation, I would say that 5% is the figure of cap inflation that we are seeing and – but no more than that – which first of all is that in Brazil due to the extra works, there are not many companies or supplier available. But if you remember, part of our – I mean our – we are negotiating, the operator is negotiating that now with Sapinhoa and we will have to wait and see which will be the final cost of this process of negotiation. So I would say an average 5% and with a factor I mentioned viewing relation with Brazil. And the second one – in relation with the second one I would say that altogether it would be around $35, $37 per barrel combining CapEx and OpEx and it’s not – I prefer to give you the combined figure because depending on the property of the FPSO, figures can change from one company or the other depending if you own the FPSO or if you simply rented it, so around $35, $37 per barrel. And second, in relation with Canaport, well I would say that Canaport figures will vary our North American LNG business. I mean the fact that we didn’t sell to the Shell. The results will vary once the transaction is closed, because at that moment we’ll not have the availability of our own gas. As mentioned in the press release, after the announcement of the shale, the shale to the shale, we will accrue the necessary quantity, so that at the end in figures and for your models, the operational result would be zero. So the negative part that we expect in the future would be absorbed by the amount accrued. Did I answer you, Flora?
Flora Trindade – BPI: Yes, perfect. Thank you.
Miguel Martínez San Martín: You’re welcome.
Ángel Bautista: Thank you very much, Flora. Now let’s move to Filipe Rosa. Hola, Filipe. Please go ahead with your questions.
Filipe Rosa – Banco Espirito Santo de Investimento SA: Okay. Hi, good morning, everyone. Three questions if I may. The first one on CapEx, apparently it’s running slightly below the full year – your full year run rate. Could you emblem me in downstream? Could you update us on your guidance for full year CapEx? My second question would go for Peru on the asset sale, if you could update us on that? The third one would be for the marketing division, again a follow-up on that one. Have you seen any recent signs of recovery in terms of volumes stabilization? Could you update us on your view for the second half on that one? Thank you very much.
Miguel Martínez San Martín: Always the first part of the year, you’re a little bit below what you ended up. So our fear or the indication we gave in the first quarter results – presentation results, we’re between 3.3 and 3.5 ex-Gas Nat. And I think that we are going to be in line. In the first six months, we have CapEx of 1.5 are normally, especially the first quarter is a little higher. So I think that we are in line with our budgets and with the indications or color we gave you. In relation with your second question in Peru, we keep deposits and I am under confidentiality clauses, so I cannot tell you more that deposits continues and let see how it evolves. But I cannot tell you more about this, sorry. And in relation with the volumes, we have seen somehow softened the fall in the retail network because at the end the retail network is the one that provides you the best data. I mean wholesaling through as more you can move volumes easily. But if you look at the figures that fall in the – let say 7.3% in the quarter which was smaller than what we have seen before, and in this month we’re little above what we sold in July 2012. So the situation it looks like somehow recovering though – I mean, if someone would have told me six years ago, if I could think that consumption in our network will 43%, I would say that the guy would have been crazy. So this is really a tough position and we will see, but it looks to us signals a little better.
Filipe Rosa – Banco Espirito Santo de Investimento SA: And on the margin front, is that resistibly reversion of the volumes or is to drop down relatively smaller in second half. Do you think that’s the – it will be possible to have some margin improvements or do you think that it will be something similar to the first half?
Miguel Martínez San Martín: I would say that margins – a little better in the second part of the year. You have to think that when we started the year, the Spanish governments changed the tax in relation with the biofuels. In Italy, I mean, the biofuels were not taxed with the hydrocarbon taxation and we have been slightly recovering that tax. So I expect a little recovery in the second part of the year in comparison with the first one.
Filipe Rosa – Banco Espirito Santo de Investimento SA: Thank you very much.
Ángel Bautista: Thanks Filipe. Now let’s move on to Haythem Rashed from Morgan Stanley. Hello, Haythem, please go ahead with your questions.
Haythem Rashed – Morgan Stanley: Thanks Ángel. Good afternoon everyone. Just few quick questions from my side. One is a very quick clarification and a follow-on from the previous question on the downstream. Just to understand given sort of comments that there is sort of cautiously optimistic outlook potentially for the marketing side. Do you feel sort of guidance for the full year could be sort of exceeded or well if you got any sort of update if you – where you see sort of full year EBITDA for the downstream sort of ending up? Second question, I had is sort of slightly bigger picture. You’ve made good progress on all the sort of financing parts of the strategy and it sounds like with the LNG sale effectively with all the approvals in place now, I mean it’s sort of how much of time now to sort of have that completed. And are you thinking about sort of the potential next stage in the sense of where you see Gas Natural in the portfolio and have you any sort of updates on your thoughts there, I know that previously that was something that you wanted to sort of see the LNG sale done before thinking about, but it’s not something that you are now sort of looking at it in a bit more detail? Thank you.
Miguel Martínez San Martín: In relation with – I think that my comments in the first quarter presentation recover that probably we will reach €1.5 billion as EBITDA for the whole downstream division. If you look at our figures today, we closed the first part of the year with €430 million, I think. But my comment was based on non-impact from the inventory effect and we have suffered €230 million impact on the inventory valuation. So we add up both figures, so considering for the whole year the inventory impact would be zero. The figure of the first half of the year would be around €670 million. So expecting a slightly better second part of the year I think that if we don’t reach it we are going to be pretty close with no inventory effect, okay. In relation with the second one; you are right in your comment. I mean part of the rational, our staking is not well whilst the ability to make money throughout LNG division. And the rational disappeared once we sell the LNG business to Shell. Having said so, well, we are not in a hurry. I mean, only the financial advantage we get I mean that is not royal deals, 6.5 after tax and our last bond issue was 1.8 after tax. So, we have a positive recovery of almost 500 basis points. So, we are not in a hurry. But it’s true that it’s something we seriously have to think of it.
Haythem Rashed – Morgan Stanley: Okay. Thank you.
Ángel Bautista: Okay. Thank you very much. Now, let’s move to Alejandro Demichelis. Well, Alejandro, please go ahead with your questions.
Alejandro Demichelis – Exane BNP Paribas: Yes. Good afternoon, gentlemen. Thank you very much for taking the questions. The first one is a follow-up on your last answer on Gas Natural, if you’re thinking about what your next steps are, do you need to agree with them to do something jointly? That’s a first question. Second question is on Argentina and you mentioned the situation with Chevron. Does that change your willingness to take part of the asset, that part of the transaction given that Chevron has taken probably the jewel in the crown of the asset?
Miguel Martínez San Martín: Well, for sure, I mean, any transaction we possibly foreseeing the future. It would be much, much better and much simplifier if we do it in agreement with [Gasia] and with Gas Natural management that’s clear. So, as mentioned, it’s way too early, you have to think of it and look for the future. But I would say, yes. I would prefer to have any future transaction in agreement with [Gasia] and with Gas Natural. Norwegian with Chevron and Argentina, I mean here I want to explain that basically we are not against any expropriation. I think it’s very right all the governments have. But the point here is that we need a fair compensation, which is something that after 15 months we haven’t seen. We haven’t seen a single lower and one ways to receive the liquidity now for valuing of – for the assets that were expropriated. The other possibility they don’t – we don’t return to our fair values to obtain the assets back and in that sense Chevron is interfering in our process. But the jewel of the crown – yes, it’s true that it’s – the fall in the best play – the best part of Vaca Muerta, but thing that Vaca Muerta is huge. And on top of that we are looking more for liquid assets, more – and for investment – for future investments in Argentina.
Alejandro Demichelis – Exane BNP Paribas: So are the negotiations with the government continuing or have they stopped now?
Miguel Martínez San Martín: I mean as mentioned, really there were no negotiations with the government. I mentioned that it was signed directly. So basically what we had was a meeting in Mexico with YPF people and Phoenix people and our team and that was it. So I cannot say that we are in conversation because the contact has been totally impaired.
Alejandro Demichelis – Exane BNP Paribas: That’s very clear. Thank you.
Ángel Bautista: Thank you very much, Alejandro. Now please Theepan Jothilingam from Nomura. Please go ahead with your questions.
Theepan Jothilingam – Nomura: Yes. Thank you. Good afternoon, gentlemen. Actually two questions. If coming back to exploration, please could you perhaps give us any sort of indications of – on a volumetric basis what you are targeting for H2 after having a successful H1? And then just on the Alaska again, could you just talk about what the next steps there are? How much do you think you’ve discovered today and when you may think about sort of first off? Thank you.
Miguel Martínez San Martín: Hi, Theepan. Well, I’m sorry, but to the first question I have to say no, I mean, we do not disclose volumes we are aiming at. Though I have to say that still in front of us we have Kazakhstan, Norway, Canada, Brazil, U.S., Libya, and in front of us – and Romania. So, still really waited second part of the year, but we have not disclosed the volumes we are aiming at. And in relationship with our last one, if you remember we still have one campaign to go, an exploratory campaign. So, we do prefer to really end up all the – all our homework before disclosing any figure. Sorry about that Theepan.
Theepan Jothilingam – Nomura: Okay. Could you – I mean, just two follow-up questions I guess. What do you think of economic threshold is there therefore, it’s been a different way on that question. And second just coming back to the previous Q&A, subsequent to the Chevron announcement, has there been any further contact with the Argentina government. There has not been any change in stock, is that what you’re trying to tell us today?
Miguel Martínez San Martín: In real terms we always aim for a return, which depends on the risk of the country and also the fit with our strategic plan. So I would say that for your request or what I can tell you do as two figures before we started and after the tax modifications are going to be a little higher, Alaska. But for sure it will – it’s trying to retain also in how – on what we find in the – during this winter and depending on the size, the development project we’d but, so still way too early to say. What I can tell you is that based on our initial analysis, we’re in better shape today that when we approve the first exploration campaign. The – and the other one the answer is no. I mean, there has been no contact.
Theepan Jothilingam – Nomura: Okay. All right. Thank you very much, Miguel.
Miguel Martínez San Martín: Thanks Theepan.
Ángel Bautista: Thank you, Theepan.
Miguel Martínez San Martín: Sorry.
Ángel Bautista: Hello. And now – thank you, Theepan. Let’s move to Hootan Yazhari. Hello, Hootan – please, from Merrill Lynch. Go ahead with your questions.
Hootan Yazhari – Merrill Lynch: Good afternoon, gentlemen. Two questions, if I may. Starting with YPF, you indicated that you will be pursuing some activity in the U.S. Court system. Can you just give us some clarity on what exactly what you’re pursuing there? And if a successful judgment is given in your favor, what would that entail and how could this play out for you? And secondly, moving to the exploration portfolio, I just want to get an update in terms of whether you have the rigs lined up for your reentry into BM-C-33 and what we could expect in terms of timings there? Thank you.
Miguel Martínez San Martín: I’ll like to pass the first question to Miguel Klingenberg who is our lawyer and the one that is doing – the one that moves around. Miguel?
Miguel Klingenberg: Yeah thank you. Thank you, Miguel also. Well very quickly, as you probably know we have five-arbitration procedure at World Bank. Arbitration – and the claim is related to the fact that the expectation has been more compensation and therefore our claim at excess is two-fold. On the one side, we’re requesting the debutant to grant that restitution of the asset extra bated the shares. In fact we’re still the legal owners of those shares, although we can only enroll in rights our size by the government. And secondly as an alternative on economic financial compensation, so far therefore it is our obligation to protect the assets of YBF, and this is what we are trying to achieve. We have advised third parties that we are going to fight against those who are willing to take advantage of this legal expenditure, and therefore that’s what we are doing. And what we have by now done part of other proceedings today, basically to request the tribute note to grant an injunction to the Government of Argentina imposing on them the protection of the assets and in particular those who are the subject of the Chevron YPF agreement.
Miguel Martínez San Martín: Thank you Miguel. Hootan, your second question, was referred to compose 33 or in general terms.
Hootan Yazhari – Merrill Lynch: On BMC 33.
Miguel Martínez San Martín: The rig would be in place by the end of 2013 probably the end of October, November. Okay.
Hootan Yazhari – Merrill Lynch: Okay. So we won’t get any results on BMC 33 and until early next year?
Miguel Martínez San Martín: Yeah, at the best.
Hootan Yazhari – Merrill Lynch: Okay. Understood.
Miguel Martínez San Martín: Thank you.
Ángel Bautista: Okay. Thank you very much. And now we move – we move to Anish Kapadia from TPH. Hello Anish.
Anish Kapadia – Tudor, Pickering, Holt & Co. International, LLP: Hi. Good afternoon. I have three questions. The first one was on Brazil on the couple of development over there – on carry out its seems like the precise FPSO has come down in five and also I think there was only one company that tended for the FPSO. Just wondering, if there has any risk to the delays over there – risk of delays over there and impact on CapEx? And on the gas condensate development so it seems like the Panoramix well was on unsuccessful, just wondering how that impacts development of Panoramix and the other discoveries around there? Second question is on the refining division given the very weak performance you’ve seen which you can say they are closing down, one of your underperforming refineries or is that will you not be able to allowed to do so far by the Spanish government? And then the final one is just a little bit of guidance for 2014. I was just wondering with the LNG business coming out of the portfolio, can you give a guidance on what the increase in tax rate will be and following the preference share conversion what the decrease in the financial expense will be that you expect in 2014? Thank you.
Miguel Martínez San Martín: Well, in relation with Carioca, we do not expect any delays. It’s true that the FPSO is a little smaller and this is due to the results of Carioca. So we are going to develop the north part of that with the one FPSO, but we do not expect any delay. And as mentioned before, the operator is negotiating right now with [inaudible] and – the tariffs for it. So no delay is expected there. Your second question refers to Panoramix. Yes, Panoramix, we have abandoned this project. The try was well and it was not commercially interesting to go ahead. There was a four-meter pay, so we have abandoned this project. Your third question, well first, it’s true that the refining or the Downstream division has been weak this quarter, but we are still better than we were last year. This was the first comment. And second, we do not expect to close any facility. I mean our system works as a unit and we took advantage of it, so no any closing expected so far. And finally, in relation with 2014 for the tax rates and financials, it’s been too early to being able to give you any color or any hint. But I’d be happy once we have all our budgets for the next year to come in that with all our view. So, I would say still way too early to give you – to provide you any flavor. I think that also in relation with financials is going to depend much and how the closing of the LNG is, there are many factors. So, I’d rather prefer to wait for the budget to give you those data, okay.
Anish Kapadia – Tudor, Pickering, Holt & Co. International, LLP: Okay. Just one clarification in terms of Panoramics abandoning that project, are you still going ahead with that and what’s the timing on that?
Miguel Martínez San Martín: Petrobras is the operator and we’re still going ahead. In Panoramics, we are the operators and we just decide to stop the project.
Anish Kapadia – Tudor, Pickering, Holt & Co. International, LLP: Thank you.
Ángel Bautista: Okay. Thank you. Thank you very much. Now, let’s move to Lydia Rainforth from Barclays. Hello, Lydia. How are you?
Lydia Rainforth – Barclays: Hello, thank you very much. I just have a couple of questions if I could. Firstly, Miguel, just to clarify on the LNG sales closing. Now you’ve got the anti-trust appraisal is there any risk at all that the deal doesn’t happen or is it just the case of going to Asia the individual contract and reporting those out? And then secondly, I am sorry to just rush you today again, but could you just go through the outlook for the profitable North American LNG business again for me? And just what would it take for that business to be breakeven? And then obviously if I could just do third one, it is now pretty much over a year since you signed this strategic alliance with Pemex around the Mexico side. I was wondering have you guys have seen those progress in that or sort of what – one more you might expect from that to come through. Thank you.
Miguel Martínez San Martín: Well, to the first question I would say, no. I am totally positive that the deal will close. We already have the anti-trust permit and the point there is that exactly we have 152 contracts to retransfer to Shale. I mean all these contracts we have all the parties. So it takes time. It takes time but things are going well. My comment in – few months ago was that probably by September, October there would be possibilities. Probably it would fall more in the fourth quarter but the answer is that we think that we’ll – for sure will go ahead with it. In relation with the North America and the LNG what we mentioned when we announced the deal with Shale is that we will accrue the quantity necessary for those assets. So at the end the losses could be between $50 or – and $100 million per annum. But this will go against the accrual. So basically at the operating level the results would be zero. And in relation with Pemex, we are in touch with them especially in the petrochemical area with some possible projects in the – but going slow but we keep talking with them, but no major advances to say something. Okay, Lydia?
Lydia Rainforth – Barclays: Perfect. Thank you very much.
Ángel Bautista: Thank you, Lydia. Thanks for your questions. Now, let’s move on to Alastair Syme from Citi. Hello, Alastair. Please go ahead with your questions.
Alastair Syme – Citi: Yeah. Hello, Ángel and Miguel. One point of clarification on the – you mentioned the change in electricity tariffs in Spain and just to clarify is that EBIT impact coming through the Gas Natural line or is it coming through E&P in the form of lower natural gas prices to the extend to those are linked to Spanish electricity prices? And my second question just you know you mentioned the big fall in marketing volumes over recent years. Is there anything or are the things you are doing on the fixed cost side to adjust to the lower capacity?
Miguel Martínez San Martín: Thanks Alastair. I mean, the change in the regulation of electrical system in Spain affect us in two ways. The first one is through our participation in Gas Natural for the figures I mentioned. And then we have an extra minor impact on our co-generation. That’s it. All combine within group percent €100 million for us – for the whole year so and that’s it. Through Gas Natural five times generation system in the over. And in relation with fixed cost you can imagine that yes, I mean, we’re really somehow squeezing every single cent that we have costs of. So, – and especially if you remember we have in 2009, we really did an extraordinary effort gas cutting and we have reviewed almost everything starting from timetables in the service station till the – I mean all the course have been analyzed, we analyzed and we are trying to reduce all of them in order to somehow save the impact on the volumes. Okay, Alastair.
Alastair Syme – Citi: Is there a thought to closing capacity though?
Miguel Martínez San Martín: You mean in the retail network?
Alastair Syme – Citi: Yes, yes.
Miguel Martínez San Martín: Well, service stations normally die alone. And by that mean that independently of the moment in which you are there is a limit probably around 2 million liters per annum in which those sites cannot be operated by companies. Between 1 million and 2 million liters per annum can be operated by families and below 1 million liters they die alone.
Alastair Syme – Citi: Okay.
Miguel Martínez San Martín: But there is no any idea or global concept of closing service stations. As mentioned, they die alone.
Alastair Syme – Citi: Okay. Thank you very much.
Operator: Thank you. Thank you, Alastair. Now, let’s move on to Irene Himona from Société. Hello, Irene. How are you? Please go ahead with your questions.
Irene Himona – Societe Generale: Good afternoon. Thank you very much. Most of mine were answered. I just had one question, if I may, Miguel. On the financial side, you’ve now sold LNG, you get to change the prefs for a bond; you’ve got the script dividend going. What is it that the credit agencies want you to do from hereon in order to at some point have a chance for a credit rating upgrade? Thank you.
Miguel Martínez San Martín: Thanks, Irene. I agree with you. But basically they want us to close the deal with Shell – with Shell. Once this deal is closed all the ratios would be also in the upper part of the [inaudible] and then we will have to wait. I mean the agencies always take their time to more you up. They are a little faster to bring you down – downgrading you. In our case I have to say that they have been quite cautious of the problem we faced after the confiscation of YPF. We present them the plan with the measures you mentioned and some other ones and we have delivered everything. So, I think it’s only pending on the closing of the LNG deal.
Irene Himona – Societe Generale: Thank you very much. Thank Miguel.
Ángel Bautista: Thank you, Irene. Hello, Neill Morton please from Investec go ahead with your questions.
Neill Morton – Investec Securities: Good afternoon. Two exploration questions please. The first one on Namibia, I think results to date have been fairly mixed. I appreciate you don’t get full access to other operators’ data, but have that given you any positive thought against ahead of your own drilling in 2014? And then secondly, in Ireland again you’re not the operator there, but I just wonder what the next steps are on Dunquin and for example when you are – if you’re planning to drill Dunquin South? Thank you?
Miguel Martínez San Martín: Well, in relation with Namibia, I’ll have to say that there – we are aiming for – it’s totally different play. So, I would say the tariffing to do with it. And your second question in banking, I have to say that it was a great well for the geologists, but a horrible one under an economic point of view. I mean, the reservoir was there, the quality of it was great. All the conditions were great, but it was water instead of oil. So, I don’t known, which conclusions the geologists will end up. But one thing is clear, I mean, the idea was correct. So, probably they will keep moving around. It was around that, Neill, okay.
Neill Morton – Investec Securities: That’s great. Thank you very much.
Miguel Martínez San Martín: You’re welcome.
Ángel Bautista: Hello. And now we move ahead with – move on to the questions that we received in our chat. First one comes from Brendan Wang from Jefferies. He’s asking about an update on the results of the Sagitario discovery in Brazil. And there other analogists prospects in the block?
Miguel Martínez San Martín: Well, the appraisal plan would be presented this month. And he was talking, when am I – will not give some date, but we are talking about really big one over here. And Petrobras always, I mean, they don’t like us to comment on that, it’s a big one. I cannot tell you more. And the second question – well, to see there some other prospects similar in the area. I’ll have to first list a price and then we’ll see in the future how the other prospects look.
Ángel Bautista: Then moving on to the question that has been made by Jason Kenney from Santander, comments on gas realization prices as compared to Henry Hub?
Miguel Martínez San Martín: Yeah. Just a little curious that Henry Hub went up but our realization prices went down. Two reasons for that, the first one refers to oil – to the gas we provide to the government of Trinidad & Tobago, which was higher this month or so and it affect the mix. And the second one is that we have a 20% of our gas sales index to the Brent price especially important is Bolivia due to its volumes and Brent went down. So the total mix at the end even follow the Henry Hub, to give you that I think that only approximately 30% of our gas production is linked it to Henry Hub and that’s the reason the mix.